Operator: Welcome to the 2011 Fourth Quarter Conference Call for Genesis Energy.
 Genesis has 3 business segments. The Pipeline Transportation division is engaged in the pipeline transportation of crude oil and carbon dioxide. The Refinery Services division primarily processes sour gas streams to remove sulfur at refining locations. The Supply and Logistics division is engaged in the transportation, blending, storage and supply of energy products, including crude oil, refined products and CO2. Genesis' operations are primarily located in Texas, Louisiana, Arkansas, Mississippi, Alabama, Florida and the Gulf of Mexico.
 During this conference call, management may be making forward-looking statements within the meaning of the Securities Act of 1933 and the Securities Exchange Act of 1934. The law provides safe harbor protection to encourage companies to provide forward-looking information. Genesis intends to avail itself of those safe harbor provisions and directs you to its most recently filed and future filings with the Securities Exchange Commission. We also encourage you to visit our website at genesisenergy.com, where a copy of the press release we issued today is located. The press release also presents a reconciliation of such non-GAAP financial measures to the most comparable GAAP financial measures.
 At this time, I would like to introduce Grant Sims, CEO of Genesis Energy, LP. Mr. Sims will be joined by Steve Nathanson, President and COO; Bob Deere, Chief Financial Officer; and Karen Pape, Chief Accounting Officer. 
Grant Sims: Thank you. Good morning, and welcome to everyone. We generated another record of available cash for the quarter as we continued to see the benefits from our acquisitions and improved demand for our products and services. 
 For the quarter, the partnership's performance allowed us to make the distribution earlier this week of $0.44 per unit, a 10% increase over the year-earlier quarter. This now represents 26th consecutive quarters in which we have increased the distribution to our unitholders, and the 21st quarter during such period the distribution has been increased by at least 10% over the year-earlier quarter with the lowest growth over the year-over-year quarter during that period being 8.7%. 
 All of our business segments reported increases in segment margin over the same period last year for both the quarter and the full year. These increases are reflective of the positive impact of our acquisitions, the increased integration of our service capabilities and the increase in demand for those services. 
 At this point, I'd like to turn it over to Steve Nathanson, our President and Chief Operating Officer. 
Steven Nathanson: Thanks, Grant. During 2011 and the first 6 weeks of 2012, we've been busy completing several growth initiatives and strategic acquisitions. As you know, in August 2011, we increased the service capabilities of our Black Oil fleet with the addition of 30 barges and 14 push boats. Just this week, we purchased outright the 7 barges that had been subleased since the transaction closed. 
 During the fourth quarter, we increased our crude oil and refined product service capabilities in the shale play areas through the acquisition of refining and pipeline assets in the Niobrara region in Wyoming and continue to work on the expansion of our crude oil infrastructure in Texas. These enhancements included truck pipeline and terminal facilities that increase our ability to provide services in the Eagle Ford production area and to the refinery complexes in the Houston and Texas City area. 
 Projects around our Texas pipeline include increased tankage and truck capabilities near West Columbia and terminal facilities in Texas City with dock access, both expected to be operational by the end of the second quarter. We have initiated construction of a 16-inch loop line of our existing pipeline into Texas City, which is supported by a term contract with one of our refining customers, which will increase our service capabilities into that area in the first half of 2013. 
 We are in the process of increasing our fleet of trucks to complement our expanded pipeline services. In addition to these initiatives, we've begun construction of a new crude-by-rail and loading terminal connected to our existing oil pipeline at Walnut Hill, Florida. This facility will be capable of handling unit train shipments of oil for direct delivery to one of our refinery customer and indirect delivery through third-party common carriers to potentially multiple other markets in the Southeast. We anticipate the facility will be fully operational by the third quarter of 2012. 
 On January 3, we completed the acquisition of interest in several Gulf of Mexico crude oil pipeline systems for Marathon Oil Corporation and announced plans with Enterprise Products Partners to build crude oil gathering pipeline in the deep Gulf of Mexico -- Deepwater Gulf of Mexico. The acquired pipelines from Marathon will complement our existing and our planned infrastructure and enhance our ability to provide attractive capacity and market optionality to producers for their existing and future developments as well as our refining customers onshore in Texas and Louisiana. 
 Our planned pipeline with Enterprise Products will allow us to interconnect with existing shallow water pipelines for delivery of crude oil produced from world-class domestic reserves to multiple refinery markets in the Gulf Coast. Additionally, we have been and continue to be focused on building out our organization as we expand the breadth and reach of our company. 
 With that, I'll turn it back to you, Grant. 
Grant Sims: Thanks, Steve. We believe these initiatives and acquisitions are excellent opportunities as we continue to identify ways to optimize our existing assets to create synergies and expand the capabilities of our core competencies. 
 Before I turn it over to Bob to discuss in greater detail the reported results, I'd like to recognize the contribution of our employees. Because of their dedication to safe, responsible and efficient operations, we continue to work together to be able to deliver increasing long-term value for all of our unitholders. 
Robert Deere: Thanks, Grant. I will discuss the key differences in our fourth quarter results for 2011 as compared to the fourth quarter of 2010, and then discuss the year-to-date results. My discussion will focus on our segment margin as fluctuations in our revenues resulting from changes in commodity price levels of crude oil, petroleum products or chemicals, like caustic soda, did not have a corresponding impact on our earnings or available cash flow. I'll discuss our results in terms of our 3 reporting segments: Pipeline Transportation Services, Refinery Services and Supply and Logistics. 
 For the 2011 quarter, we reported record available cash of $37.3 million, slightly above the record we set in the third quarter. Each of our segments contributed to this increase in available cash as compared to the 2010 quarter through a combination of improved results from existing operations and acquisitions, namely our interest in the CHOPS pipeline and the additional Black Oil barges we acquired in August of 2011. 
 Available cash increased by $8.1 million during the 2011 quarter from $29.2 million in the 2010 quarter. Net income attributable to the partnerships in the 2011 quarter was $7.8 million or $0.10 per unit as compared to a net loss attributable to the partnership of $74.7 million for the 2010 quarter. 
 As you may recall, in 2010, we incurred noncash management compensation expenses of $75.6 million from the exchange of certain equity interest in our general partners for new common units in connection with our 2010 IDR restructuring. As these noncash management expenses were attributable to our general partner, our common unitholder share of our net income was $1 million or $0.02 per unit during the 2010 quarter. 
 Turning to our operating segments. Results from our Pipeline Transportation segment improved to $17.3 million, representing a $2.7 million increase over the prior-year quarter. Our share of distributable cash from CHOPS increased $1.5 million from the 2010 quarter as a result of owning our interest for the full quarter in 2011. The extended maintenance and planned improvements to the offshore facilities by producers at a major field connected to CHOPS continued throughout the fourth quarter of 2011. 
 The Pipeline Transportation segment margin also increased due to an increase in throughput volumes on our onshore crude oil pipelines of 4,832 barrels per day. The increase in total offshore pipeline owned -- the increase in total onshore pipeline volumes is attributable primarily to the Texas pipeline system where we saw almost a 20% increase in volume over the prior year's quarter. We continue to see a benefit in volumes along this system from increased demand by refineries connected to our pipeline for sweet crude from the Eagle Ford production area in Texas. 
 Refinery Services segment margin for the 2011 quarter was $19.7 million, an increase of $2.5 million from the prior year quarter. NaHS sales volumes increased by 2,577 dry short tons to 40,961 dry short tons for the fourth quarter of 2011. 
 Caustic soda sales volumes declined slightly between the 2 quarters. However, as we have indicated in previous calls, caustic soda sales are not the primary focus of our Refinery Services activities. Our economies of scale and logistics capabilities allow us to effectively market caustic soda to third parties, including many of the same parties who acquired NaHS from us. We also performed additional services for refineries including, among others, handling sulfidic or spent caustic. 
 Supply and Logistics segment margin was $15.7 million in the 2011 quarter compared to $9.9 million in the prior year quarter. The increase in segment margin resulted primarily from increased volumes, operating efficiencies and changes we made in some of our existing crude oil and petroleum products commercial arrangements. Increased production from these sources of crude oil such as the shale plays in Texas and Wyoming have increased demand for our services. Our volumes in this segment increased 4% in the 2011 quarter. The Supply and Logistics segment margin also increased from the contribution of the additional Black Oil barges acquired in August 2011. 
 Interest costs, corporate, general and administrative expenses, maintenance capital expenditures and income taxes to be paid in cash affect available cash before reserves. Interest costs increased for the 2011 quarter as compared to the 2010 quarter by $2.9 million, primarily as a result to the issuance of unsecured notes in November 2010 to finance our investment in CHOPS. Corporate cash general and administrative expenses increased by $1.8 million during the 2011 quarter, primarily as a result of personnel additions and other costs to meet our needs for the growth of the partnership. Also affecting available cash before reserves is an increase in proceeds from sales of surplus assets of $1.9 million. 
 In addition to the factors impacting available cash from reserves, net income included the effect of several noncash charges and credits. Depreciation and amortization expense was $19.2 million for the 2011 quarter, an increase of $6.1 million between the quarterly periods, primarily from the addition of the Black Oil barges. Additionally, net income also includes the effects of unrealized gains or losses on derivative contracts that are not included in available cash until they are realized. In the 2011 quarter, our unrealized losses on our derivative instruments totaled $5.4 million compared to an unrealized gain of $700,000 in the 2010 quarter. 
 Net income is also affected by the noncash effects of equity-based compensation expense, which was approximately $1 million during the 2011 quarter compared to $78.4 million in the prior year quarter. That equity-based compensation expenses during the 2010 quarter were associated with the exchange of equity arrangements in connection with our IDR restructure.
 Differences between the cash distributions from joint ventures and the income effect of those joint ventures are also adjustments between available cash and net income. Distributions exceeded earnings from these joint ventures by $4.8 million in 2011 and by $1.6 million in 2010. Net income also includes the effects of activities related to growth opportunities or acquisitions. In the 2010 quarter, these transaction costs totaled $10.7 million related to our IDR restructuring and acquisition of our 50% interest in CHOPS. While in 2011, these transaction costs totaled $900,000. Our noncash income tax benefit was $2 million during the 2011 quarter versus income tax expense of $700,000 in the 2010 quarter. 
 I will now discuss the principal differences between the full years of 2011 and 2010. For the year 2011 we reported net income of $51.2 million or $0.75 per unit as compared to a net loss attributable to the partnership of $48.5 million in 2010. Net income available to our common unitholders in 2010 was $19.9 million or $0.49 per unit. Available cash before reserves generated during 2011 was $138.2 million compared with $101.5 million in 2010, an increase of 36.2%. Segment margin for 2011 was $202.5 million, an increase of $52.9 million when compared to 2010. 
 Results from our Pipeline Transportation segment improved $19.6 million to $67.9 million when compared to $48.3 million in 2010. Our pro rata share of distributable cash generated by CHOPS increased by $15.3 million during 2011 as a result of owning our interest in the pipeline for a full year. Volumes on our Texas pipeline system increased by 16,435 barrels per day as demand by refineries connected to the pipeline increased. 
 Refinery Services segment margin for 2011 was $74.6 million, an increase of $11.7 million from 2010. NaHS sales volumes increased 2% to 147,670 dry short tons in 2011. Mining customers were the primary source of the increase in NaHS sales volumes due to the increased demand for copper and molybdenum in the world's emerging economies. Caustic soda sales volumes improved 7% year-over-year. 
 Supply and Logistics segment margin increased $21.6 million to $60 million for 2011 when compared to $38.3 million for 2010. Similar to the quarter-to-quarter comparison, the increase in segment margin resulted primarily from increased volumes, operating efficiencies and changes we made in some of our existing crude oil and petroleum products' commercial arrangements. In addition, the increased production from these sources of crude oil, principally the shale plays in Texas and Wyoming, has increased demand for our services. The volumes we handled during 2011 increased by 14% as compared to 2010. 
 Also affecting available cash before reserves, interest cost increased during 2011 by $20.9 million to $35.8 million, primarily as a result of the issuance of unsecured notes late last year and an increase in the average outstanding balance on our credit facility, primarily due to our new growth projects we discussed earlier. Corporate cash, general administrative expenses increased by $5.3 million, primarily related to increases in payroll and related cost as our personnel needs have grown with the growth of our partnership. 
 Other items affecting available cash before reserves were an increase in proceeds from sales of surplus assets of $5.5 million, offsetting an increase in maintenance capital expenditures of $1.4 million, primarily relating to our marine fleet utilized in our Supply and Logistics operations. In addition to the factors impacting available cash before reserves, net income included the effect of several noncash charges and credits. Depreciation and amortization expense was $61.9 million for 2011, an increase of $8.4 million from 2010. 
 Available cash before reserves included cash distributions from our equity investees of $20 million for 2011, while net income included only the earnings we recorded from those investees totaling $3.3 million, a difference of $16.7 million. In 2010, this difference was $2.3 million as we did not own our interest in Cameron Highway until the fourth quarter of 2010. Additionally, 2011 net income included the effects of $4.4 million of cost, the activities related to the acquisition of assets for growth opportunities as compared to $11.3 million in 2010. 
 In 2010, our net loss included noncash equity charges of $83 million, primarily reflecting those charges incurred in connection with our IDR restructuring. Our noncash income tax benefit was $2.1 million during 2011 versus an income tax expense of $1.3 million in the 2010 quarter. 
 Grant will now provide some concluding remarks to our prepared comments. 
Grant Sims: Thanks, Bob. As we mentioned in the beginning of the call, we've been busy continuing to identify and capitalize on the opportunities presented to us by our increasingly integrated operations and given our areas of commercial and operating expertise. We have increased the distribution to our unitholders for 26th consecutive quarters and the 21st quarter during such period we increased the distribution by at least 10% over the year-earlier quarter. We are targeting to keep that trend going in 2012 while maintaining a conservative and flexible capital structure. 
 The fundamentals of our businesses are strong. As we look at the rest of this year and into future years, we see no reason those fundamentals would materially turn on us. We believe we've already made, or are currently making, the investments to build value for all of our stakeholders in the years to come. As always, we're proud of our opportunity to work with a great group of folks, their immense contributions and their commitment to providing safe, responsible and efficient services to our customers. 
 With that, I'll turn it back to the moderator for any questions. Thanks. 
Operator: [Operator Instructions] Our first question comes from Ron Londe with Wells Fargo. 
Ronald Londe: It look like you had a pretty good year in NaHS business. You said on your release that paper sector had picked up and helped. In your comments, you were talking about copper and moly. Can you give us an idea of maybe the growth between the 2 and what your outlook is for this year for the 2 sectors and how that's going to affect NaHS? 
Steven Nathanson: Well, the publicly announced mine expansions globally, domestically and particularly in South America where we do business are all well documented. The price of the copper is -- has rebounded significantly, so we don't see any slowdown in that particular segment for us. Longer term, the world is short on pulp as emerging countries have a demand for paper products like we have here in North America. So again, we see some reopening of some mills after a long period of consolidation, and the existing mills that are operating today are running very hard. So that segment has shown some renewed energy for us as well. 
Ronald Londe: In the logistics part of the business, you said you purchased outright 7 barges that you had been leasing. Can you give us a feel for the cost of this? 
Grant Sims: It is in the neighborhood of $30 million. 
Ronald Londe: Okay. And also you were talking about the greater demand for fuel oil and heavy ends in the international market. Can you give us a feel for who your customers are there, if the slowdown in Europe might affect that business and generally what the outlook is? 
Grant Sims: Typically, the -- we sell to bigger aggregators, if you will. We provide somewhere between 100,000 and 200,000 barrel component blend to a bigger Panamax class perhaps as much as 0.5 million barrels. The fuel is ultimately destined for -- not for Europe, but for the Caribbean and South America as well as Asia for uses of power generate -- Power-Gen fuel or other boiler fuel applications. 
Ronald Londe: So have events in Japan benefited that kind -- that operation, would you say? 
Grant Sims: Very minimally we would think, but driven more by the increasing power and boiler fuel demands of the developing economies in South America and Asia. 
Operator: Our next question comes from TJ Schultz with RBC Capital Markets. 
TJ Schultz: For the rail unloading terminal in -- last quarter, can you provide a cost estimate for the project and incremental cash flow potential? And then I guess beyond the refinery customer, what are the delivery markets that will be served here? I'm just trying to get a sense of how much the opportunity is locked in with the refinery customer and what we should view as upside potential from delivery markets through common carriers. 
Grant Sims: It's a rather unique situation. It's the Alabama, Gulf Coast railroad which is directly connected to the Burlington Northern Santa Fe system. It's the short-haul regional railroad crosses our pipeline downstream of our existing Jay station where we have significant excess tankage capacity. So we -- basically, we have the ability to quickly -- as a practical matter, because of our operating configuration, we can -- the reason that we can fast-track it is because basically we can deliver straight from the train into our pipeline system. As a result, the total cost is very competitive with the -- or super competitive, if you will, with other train unload capabilities. Obviously, our primary customers are existing relationship refinery in the area, which is a refinery operated by Shell Chemical at Saraland, Alabama. Additionally, we have interconnectivity that we can affect with another common carrier pipeline which would allow us to access additional refineries indirectly in Alabama and Mississippi. 
TJ Schultz: Okay. On the 16-inch loop into Texas City, can you discuss the cost estimate here and the capacity addition? And I guess you discussed $7 million to $10 million kind of EBITDA run rate from the Texas activities including the Texas City terminal just -- so view this now beginning third quarter and then what kind of incremental impact with this new loop line have on that run rate? 
Grant Sims: The cost of the line is in the order of magnitude of $35 million. It will -- currently, we have an 8-inch system that is limited to, depending on certain float conditions, call it 50,000 to 55,000 barrels a day because of the demands of the refineries as well as our ability to move volumes into our Texas City terminal. We're increasing our capacity and capabilities to move barrels into Texas City, not only for the refineries, but also to feed our terminals. So we -- as we've said, we have a long-term -- entered into a new long-term agreement that substantially underpins the investment. And that gives us the flexibility to serve additional refineries that we currently can't serve because of our capacity limitations and ensure that we can get the barrels to our terminal for export via barge. 
TJ Schultz: Okay. But the Texas City and West Columbia assets, should we kind of be thinking of that as impacting beginning the third quarter this year? 
Grant Sims: Hopefully, the second quarter. 
TJ Schultz: Okay, all right. And then just lastly, your 40% expansion of trucking operations, where are you kind of in that process right now? 
Steven Nathanson: Well, we are placing the trucks in the field at the -- in all the shale plays, primarily in the South Texas, but along our existing pipeline and gathering systems. As Bob mentioned earlier, we've seen increased activity. So it's built out on what we have existing and the increase in production in those areas. 
Operator: Our next question comes from John Edwards with Morgan Keegan. 
John Edwards: Can you talk about just why the overall crude oil pipelines were down sequentially? 
Grant Sims: You're talking from third quarter? 
John Edwards: Yes. I mean, yes, it was down year-over-year, and it looks like it was down Q-over-Q about 2% overall. 
Grant Sims: I don't think that we were down year-over-year for... 
John Edwards: I'm sorry, down sequentially -- excuse me, down sequentially, yes. 
Grant Sims: I don't have the third quarter volumes in front of me. Bob has them in very small prints. 
Robert Deere: We're all adjusting our bifocals here. Just a second. 
John Edwards: We're just showing Mississippi was down sequentially 4.8%. Jay was up 2.9%, Texas was down 3.3% sequentially. So overall, down 2.3%. 
Grant Sims: Right. The Mississippi is primarily a function of the production that comes out of the EOR fields and the natural decline associated therewith as you point out, the throughput on the Jay system was up. And within reason. the Texas system was down a little bit, but not significantly. 
John Edwards: Okay. All right. And then I was wondering if you could talk a little bit about the -- on the Supply and Logistics area, to what extent are you taking advantage of the WTI Brent spreads? I mean, obviously, we saw that segment, the margin was up very significantly year-over-year. And so maybe you can just give a little more background on how that may have contributed. 
Grant Sims: It is an extremely small contribution of our overall business. We're basically in this. We'd like to say we're in the blocking and tackling business of moving things from point A to point B and getting compensated for that. So we're not overly affected by a contraction or a widening of the spread between there. In fact, our crude oil subsegment, if you will, was basically flat to slightly up fourth quarter over third quarter where the total segment margin is down. It's primarily a function of our refined products business having a quarter that was less than what they did in the third quarter. 
John Edwards: Okay. So will that compression or widening of those spreads, is that something that's really not going to factor into the Supply and Logistics outlook? 
Grant Sims: That's correct. I mean, I think obviously, our investment at the Texas City terminal is designed to provide the service capability to move oil from Texas, which is long, light sweet crude oil and is going to get longer light sweet crude oil with the reversal of Seaway. But we certainly didn't make investments based upon $14 or $18 deltas at LL. Additionally, a lot of the rail capabilities are being driven, not only by the spread of LL to TI, but increasingly by the discount to TI that the producers are realizing in the field because of inadequate infrastructure whether or not it's pipeline infrastructure or rail infrastructure or otherwise to even get TI flat pricing. So certainly, as we go forward, some of our investments are designed to provide the logistical capability of moving distressed price oil to higher-value markets. But based upon historical results, it's a very minimal part of our historical results. 
John Edwards: Okay. And then on the -- moving over to your NaHS and caustic soda business, just to clarify, would you expect volumes to be able to increase further from here? Are you expecting flattish from here? What's your thoughts there? 
Grant Sims: I think in 2012, we see certainly some movement upwards from the run rate that we experienced in 2011. As Steve said, with the announcements that are out there by the likes of BHP and Freeport-McMoRan and Rio Tinto and others, that the significant public disclosure opening of new mines, both in North and South America as well as expansion of existing mines that we certainly see, assuming everybody stays on track, the potential for 10% to 15% volume growth starting some time in 2013, which in part is why we have -- or are currently in the process of expanding our NaHS service capabilities by working with HollyFrontier at their Tulsa refinery facility. 
John Edwards: Okay. And then as far as pricing in that area, is that strengthening? Is it flat? What -- how is that looking? 
Grant Sims: I think, again, as we've -- 90% of the cost of NaHS is reflected in the cost of caustic soda. We've structured our contracts to reflect the increases and decreases in the price of caustic soda. And basically, our business is a fixed margin business. 
John Edwards: Okay, all right. And then what's your expectations now as far as activity in the Gulf of Mexico? 
Grant Sims: We see an increasing amount of activity, certainly. I think that there was something put out in December by somebody, but is in the context of a shale announcement that they've now established the production in 9,200 feet of water in the Gulf of Mexico at their Perdido development. But the expectation is that the number of deepwater rigs by the end of 2012 working in the Gulf of Mexico would be in the neighborhood of 40 to 42 rigs compared to plus or minus 36 at the time of the Macondo incident in April 2010. So we feel we also saw in the BP first quarter earnings release a full sanctioning by them, BHP and Chevron Texaco at the Mad Dog South spar production facility which will ultimately add another 120,000 to 140,000 barrels a day of production capacity at the Mad Dog field which once the existing Mad Dog spar comes back up with rated capacity of 80,000 barrels a day is very good news for CHOPS. You've also seen us participate with Enterprise to build a new system back from the sanctioned Lucius development that's operated by Anadarko for initiation of service in 2014. So we feel like there is a return to activity in the Gulf of Mexico. Probably not as fast as everybody wants to see, but clearly, I think there is -- that the reservoirs are there. The technology is there. The industry is committed to the safe and responsible development of those world-class reservoirs, and we feel that grew very well-positioned with our investment in CHOPS and Poseidon to provide the flexible pipeline capacity to help the producers access the refining markets in both the upper Texas coast as well as Louisiana. 
Operator: [Operator Instructions] Our next question comes from Ethan Bellamy with Robert W. Baird. 
Ethan Bellamy: Any thoughts on the cost or the economics on the Keathley Canyon line? 
Grant Sims: Yes, I don't think that we're prepared to divulge that. I think that the -- I will say this. From a perspective of having -- in a previous lifetime, and now we are back in it. But having been intimately involved in providing midstream services in the Gulf of Mexico, in particular the Deepwater Gulf of Mexico for 20-some-odd years that it's a very attractive opportunity for us in Enterprise. And we're very excited to be able to do that and provide that service capability back to the pipelines that we have interest in to take it onto shore on behalf of the producers. 
Ethan Bellamy: Okay. And post-Macondo, are there any additional levels of environmental or regulatory scrutiny that would either raise costs or make the pipeline take longer? 
Grant Sims: Not really from a pipelining point of view. I mean, obviously -- and this is one of the misunderstood aspects of pipelining versus whether or not it's onshore or offshore relative to the particular instant which occurred at Macondo, which basically was an open flow well that we have block valves that are located along the route of the pipeline. So to the extent that there is any issue with the integrity of the pipeline, that the maximum that can be spilled, if you will, is the quantity of oil between the 2 block valves because they can be remotely operated to close whenever there is an integrity issue associated with it. So from an overall pipelining point of view, that's been standard procedure for years and years and years. And as a result, the -- there -- because of the particular incidence which occurred at Macondo, it's not really applicable to potential issues from a pipelining point of view. 
Ethan Bellamy: Okay. One kind of housekeeping question. With respect to maintenance CapEx going forward for the year, was the rate for the fourth quarter a good number? Should we expect an uptick from the recent acquisitions? And should we expect any lumpiness with respect to the barge business for the year? 
Grant Sims: I think as given our breadth of operations that we would look at a $4 million to $5 million kind of annualized run rate, we are pretty aggressive in terms of expensing routine maintenance and repair expenses associated with the barge and boat activities above the line, so to speak. So the $4 million to $5 million is really associated with our pipeline terminal operations as well as other kind of major maintenance capital items that, as a practical matter, continued the safe and reliable operations of our businesses. 
Operator: There are no further questions at this time. I would like to turn the call back to management for closing comments. 
Grant Sims: Okay. Well again, thanks, everybody, for coming on. I know this is kind of a busy morning with other announcements going out. But we look forward to talking to you again in 90 days if not sooner. So thank you very much. 
Operator: This concludes today's teleconference. You may disconnect your lines at this time, and thank you for your participation.